Operator: Hello, everyone. Thank you for attending today's Perdoceo Education Corporation First Quarter 2023 Earnings Conference Call. My name is Sierra, and I will be your moderator today. All lines are in a listen-only-mode. And I would now like to pass the conference over to our host, Davis Snyder with Perdoceo Education. Please proceed.
Davis Snyder: Thank you, Sierra. Good afternoon, everyone, and thank you for joining us for our first quarter 2023 earnings call. With me on the call today are Todd Nelson, Executive Chairman; Andrew Hurst, President and Chief Executive Officer; and Ashish Ghia, Chief Financial Officer. This conference call is being webcast live within the Investor Relations section at perdoceoed.com. A webcast replay will also be available on our site, and you can always contact the Alpha IR Group for Investor Relations support. Let me remind you that this afternoon's earnings release and the remarks made today include forward-looking statements as defined in Section 21E of the Securities Exchange Act of 1934. These statements are based on assumptions made by, and information currently available to, Perdoceo Education and involve risks and uncertainties that could cause actual future results, performance, business prospects and opportunities to differ materially from those expressed in or implied by these statements. These risks and uncertainties include, but are not limited to, those factors identified in Perdoceo's annual report on Form 10-K for the year ended December 31, 2022, and subsequent filings within the Securities and Exchange Commission. Except as expressly required by the securities laws, the company undertakes no obligation to update those factors or any forward-looking statements to reflect future events, developments or changed circumstances or for any other reason. In addition, today's remarks are for the non-GAAP financial measures, which are intended to supplement but not substitute for the most directly comparable GAAP measures. The earnings release that accompanies today's call contains financial and other quantitative information to be discussed today as well as a reconciliation of GAAP to non-GAAP measures and is available within the Investor Relations page of the company's website. With that, I'd like to turn the call over to CEO, Andrew Hurst. Andrew?
Andrew Hurst: Thank you, Davis, and good afternoon to everyone joining us on this call. I would like to begin by saying thank you to our faculty, student support staff and all our other employees for their continued dedication in educating and serving our students. Our first quarter operating results came in at the high end of the outlook provided, and we continue to focus on improving student experiences and academic outcomes. Let me now touch upon some of the key operational highlights and updates from the quarter. First, we continued to see improvements in student retention at both CTU and AIUS, as our academic and student support teams remain focused on serving and educating our students. This improvement, in part, has also been supported by various prospective student enrollment and student outreach changes implemented in the last 2 years that focused on enrolling learners that we believe will be more successful at one of our academic institutions. Second, during the quarter, we continued to experience growth in our corporate partnership programs as our teams support corporations around the country in educating and training their employees. The benefits and success of these programs, particularly at CTU, is something we are working to replicate and extend to our recent acquisitions. And we will continue to invest in these programs, including technology upgrades aimed to further streamline the overall processes related to these corporate partnership programs. Third, our recent acquisitions have continued to integrate into their respective academic institutions. Supported by these acquisitions, we are now able to offer our students a broader spectrum of academic courses to choose from as they plan their education at one of our academic institutions. Now let me provide further details regarding our operating results for the quarter. We reported first quarter net income of $34.5 million or $0.50 per diluted share, while adjusted earnings per diluted share, which excludes certain significant and noncash items, was $0.58. Total student enrollments as of March 31, 2023, increased by 0.8%, primarily driven by a 2.1% increase at AIUS while total student enrollments at CTU remain flat. Ashish will provide more color on these results in his prepared remarks. Finally, on the technology front, we remain committed to investing in and upgrading our technology to further enhance academic experiences for our students. We believe technology is an enabler and a differentiator for us, and we'll continue to leverage data analytics and machine learning to provide our students with a more relevant and meaningful experience. Over the past 2 years, we have committed various investments in this area, and we will continue to execute against those commitments throughout 2023. With that said, I will now turn the call over to Ashish for a deeper review of our operating performance for the quarter. Ashish?
Ashish Ghia: Thank you, Andrew. I will now review our first quarter results and then discuss our balance sheet and 2023 outlook before handing the call back to Andrew for his closing remarks. Please note that all comparisons I discuss are versus the comparative prior year period, unless otherwise stated. Before I begin, a quick reminder about year-over-year comparability. Financial results for the AIU system and CTU reflect the 2 acquisitions that were completed by the academic institutions in July and December of 2022, respectively. Also, total enrollment numbers that I discussed, or any enrollment trends that I refer to, exclude learners participating in non-degree-seeking professional development programs and in degree-seeking, non-Title IV, self-paced programs at our universities. With that said, let us begin with an overview of our operating results. For the first quarter of 2023, total company operating income decreased by 0.8% to $43.3 million as compared to operating income of $43.7 million. Adjusted operating income, which excludes certain significant and noncash items, and which we believe is more indicative of our underlying operating performance, was $53.1 million, reflecting an increase of 4.3% when compared to the prior year quarter. This result came in above the high end of our outlook range for the quarter, primarily due to better-than-expected student retention. Net income for the quarter was $34.5 million compared with $32.1 million in the prior year quarter, equating to $0.50 per diluted share, while adjusted earnings per diluted share was $0.58 as compared to $0.50. Moving on to some more details around the first quarter 2023 results. Total company revenue of $195.6 million was 6.9% higher as compared to the prior year quarter, primarily due to the 2022 acquisitions not being part of the comparative prior year period. Excluding these acquisitions, total company revenue would have been relatively flat. As it relates to our segments, total student enrollments as of March 31, 2023, was flat at CTU and increased by 2.1% at AIUS as compared to the prior year quarter. Excluding the comparability impact due to the academic calendar, we believe that the reported total enrollments would have been higher at CTU and lower at AIU system. First quarter revenue at CTU was $124.5 million or 10% higher than the prior year quarter, primarily due to our 2022 acquisition as well as modest growth in our underlying organic operations. Operating income for the quarter increased to $43.7 million as compared to $43 million while we continue to invest in academic and other student support areas. Turning to AIUS. Revenue increased 1.9% to $70.8 million for the quarter, primarily due to the 2022 acquisition. Operating income for the quarter increased to $12 million as compared to $9.5 million, primarily due to the lower bad debt and other expenses during the quarter. Moving on to Corporate and Other. First quarter operating loss of $12.4 million was higher versus the prior year quarter, primarily due to the increased legal fees associated with the responses to the Department of Education relating to the loan forgiveness applications by former students. Please refer to the disclosures regarding borrower defense to repayment in our 10-K that was filed earlier this year for additional information on this matter. Now to income taxes. For the first quarter, we recorded provision for income taxes of $12.6 million, which incorporates the accruals for federal and state corporate net income tax, resulting in an effective tax rate of 26.7%. The effective tax rate for the quarter was also impacted by discrete items for the tax effect of share-based compensation and the release of previously recorded tax results, the net effect of which decreased the tax rate by approximately 0.8%. Finally, we expect that for the full year 2023, our effective tax rate will be between 26% and 27%. Moving to the balance sheet. For the first quarter, net cash flows from operations was $4.6 million versus $22.2 million in the prior year quarter. We ended the quarter with $520.3 million of cash, cash equivalents, restricted cash and available-for-sale short-term investments. Please note that the first quarter typically includes cash outflows related to annual incentive and other compensation items. These items resulted in the quarterly end cash balances to be only modestly higher as compared to year-end 2022. Capital expenditures for the first quarter were approximately $1.9 million or 1% of revenue. For full year 2023, we foresee capital expenditures to be between 1% and 2% of revenues. Finally, to our updated outlook for 2023. We have raised the lower end of our full year adjusted operating income to range between $153 million and $170 million as compared to the previously provided range of $150 million to $170 million. Further, adjusted earnings per diluted share is expected to range between $1.68 and $1.86 versus $1.63 in 2022. This outlook reflects our current beliefs that improvements in student retention, partly supported by the positive impact from various student loan initiatives implemented by the current administration, will continue to persist through 2023. Full year revenue is expected to be modestly higher than 2022, reflecting the benefits from recent acquisitions and the academic calendar redesign at CTU as well as underlying organic improvement in student retention and engagement. However, reported total enrollments at the end of 2023 are expected to be lower as compared to year-end 2022, primarily due to the academic calendar redesign at CTU as well as operational changes at AIUS. As disclosed in our Form 10-K filed in February, the Department of Education has gone through and is going through additional negotiated rulemaking processes surrounding various topics, some of which go into effect on July 1 of this year. We continue to monitor and evaluate these rulemaking initiatives and related guidance coming from the department. Any operational changes undertaken by our academic institutions to ensure compliance with any anticipated or final new rules could have an impact on the outlook presented above. For the second quarter of 2023, we expect adjusted operating income to be in the range of $47 million to $49 million as compared to $41.9 million in the prior year quarter, with adjusted earnings per diluted share to range between $0.51 and $0.53 per diluted share versus $0.42 in the prior -- in the second quarter of 2022. Please note that our second quarter outlook incorporates a positive impact from the academic calendar comparability at CTU. Our 2023 outlook also assumes ongoing investments in technology, data analytics, academics and student support processes. We believe these investments have been successful in positively impacting academic outcomes and student experiences. We will also continue to increase the size of the corporate partnership team at CTU and make selective investments in our recent acquisitions as they further integrate within our academic institutions. I would like to conclude by commenting on our balanced approach to capital allocation. We remain focused on maintaining a strong balance sheet and adequate liquidity while investing in organic projects, in particular, technology-related initiatives, which are designed to benefit our students. We'll also continue to evaluate diverse strategies to enhance stockholder value, including acquisitions and share repurchases. We ask you to refer to our earnings release filed today for important information about the key assumptions and factors underlying our 2023 outlook and other expectations discussed on today's call as well as the GAAP to non-GAAP reconciliations. With that, I will turn the call back over to Andrew for his closing remarks. Andrew?
Andrew Hurst: Thanks, Ashish. We are pleased with our first quarter operating results and look forward to executing on our various initiatives discussed earlier that focus on further enhancing academic outcomes and student experiences. Thank you again for joining us today.
End of Q&A: That concludes today's conference call. Thank you all for your participation. You may now disconnect your lines.